Operator: Welcome to the Sinch Q2 Report for 2023. For the first part of the conference call, the participants will be in listen-only mode. [Operator Instructions] Now I will hand the conference over to Thomas Heath. Please go ahead.
Thomas Heath: Thank you very much, operator. Good morning, everyone. Thank you all for joining us for this Q2 results update with Sinch AB. My name is Thomas Heath. I'm Chief Strategy Officer and Head of Investor Relations. With me today, I also have our CEO, Laurinda Pang, and our CFO, Roshan Saldanha. And with those brief opening remarks, I'll hand the word over to Laurinda.
Laurinda Pang: Thank you, Thomas, and good afternoon, everyone. Before diving into the details, let me first pause for a moment and reflect on the size and scope of our business. We connect more than 150,000 paying customers with their consumers across the globe, delivering more than 700 billion unique customer interactions per year. And we do this with a cloud based and scalable offering that supports both established and new communication channels. Few companies match the scale of our business and breadth of our offering. During the quarter, this was again recognized by industry analysts at IDC, who lauded Sinch as a leader in the IDC MarketScape for CPaaS. Please turn to Page 3. Our focus this quarter has been to deliver on the three priorities that we first presented in the second quarter of 2022 and which I reiterated when we met last quarter after Q1. First, I'm very pleased to see us successfully deliver our cost reduction program. Our second priority has been to maintain strong cash flow and continue to reduce debt. We've made solid progress in de-levering, but cash flows tend to fluctuate between individual quarters. There are a few items weighing on Q2 that Roshan will discuss later in the call. Finally, we need to return to growth and have launched several initiatives to drive long-term improvements. Compared to Q1, we are indeed seeing better growth rates in both net sales and gross profit compared to Q1 this year. Let's turn to Page 4. First and foremost, we have successfully executed the cost reduction program that we announced in Q2 last year. You will recall that we targeted annual gross savings of SEK300 billion, and I am happy to share that we have exceeded that target. The program centered on messaging and central functions, which makes up about half of our cost base. We targeted a 10% gross reduction in that area, which corresponds to a 5% gross reduction measured on our full cost base. Despite offsetting inflationary pressures and annual salary revisions, our net cost base is down by 4% compared to Q2 last year. Secondly, adjusted EBITDA is 21% higher than last year. I'm very pleased with this performance and the efforts across Sinch to deliver this result. As you may recall, gross profit and adjusted EBITDA in Q2 last year was significantly affected by a non-recurring item related to reassessed reserves for traffic costs in messaging. Since that one-time item lowers the comparison base, our reported adjusted EBITDA growth is even higher, but the underlying improvement in constant currencies is 21%. While cost controls contribute significantly, we also delivered improved growth rates in net sales and gross profit. Gross profit for the group grew 4% over last year in Q2, a marked improvement over the negative 1% we posted in Q1. I'm very pleased to see growth in EBITDA reduce our financial leverage. Net debt to adjusted EBITDA is now 2.4 times, down from 3.3 times a year ago and very comfortably within our financial leverage target. Let's now turn to Page 5 for some operating highlights. As you know, we have significant revenue and costs in foreign currencies, so my comments here are made in constant currency to describe the underlying performance. Starting with Messaging, we saw an improved gross profit development where the 8% decline we saw in Q1 reduced to 3% in Q2. Market conditions remain adverse as our larger customers remain cost focused and volume growth is modest. As we note in our Q2 report, we expect the economic climate to remain this way throughout the year. This implies that we may not see the same seasonal improvement in the second half of 2023 as we have seen in earlier years. Seasonal growth is mainly due to marketing traffic, which tends to be more sensitive to the business cycle. However, attention to costs saw us deliver a 21% increase in adjusted EBITDA in Messaging this quarter compared to Q2 last year. And our new sales continues to do well with 41 new large business customers signed during the quarter. In Voice, we continue to see strong profitability with a 24% adjusted EBITDA margin. And despite the negative impact from 8YY regulation, we are again reporting growth in gross profit due to strong demand for our number verification products. We have extended our super network for Voice with International IP Connect and our entire Voice offering is now available to customers under the Sinch brand. I'm also pleased to see T-Mobile deploy our location solution for 911 emergency calls in North America. We make it possible to determine the location of mobile handsets, including their vertical location, something that can dramatically reduce time in emergencies. Moving to our Email segment, which continues to perform well with a 14% growth in net sales. Top-line growth combined with the cost benefits of migrating to a new cloud infrastructure vendor late in 2022 generated 23% growth in gross profit year-over-year in Email. We launched new security features in Mailjet and enhanced features to reduce spam and improve delivery performance. Overall, Email volumes grew 23% compared to Q2 last year, and customer intake is strong. I'm also pleased to see some early traction in cross sales, where a handful of existing enterprise messaging customers have expanded their business with us to also use our Email products. Our SMB segment, lastly, saw growth recover compared to Q1, with gross profit rising 10% over last year. ClickSend launched eight new integrations that make it easy to use our platform together with cloud-based products like Pipedrive, Slack and Airtable. As part of our ongoing integration efforts, we have rebranded to Sinch MessageMedia. So, to summarize, we've had quite a busy quarter, and despite the headwinds caused by a weakened economy, we are seeing both operational and financial improvement throughout our business. Now, let's turn to Page 6 for a topic that I know many have been focusing on over the recent months. This quarter, we delivered several products updates where we leverage artificial intelligence to help brands deliver a better customer experience. We see AI as a core technology domain that dramatically expands the realm of the possible and lets us tackle new and more challenging problems. Our focus here is to translate the rapid advancements that we're now seeing into tangible products that solve customer pain points and enable us to run a more efficient business. While the interest in AI has grown rapidly over the past month, we have been active in AI for several years. Back in 2018, we saw how next-generation conversational messaging channels like WhatsApp and RCS were starting to become relevant for businesses. We envisioned a future where consumers would communicate directly with brands on the same two-way communication channels that many people had already embraced for private communications with friends and family. We also recognize that AI would be foundational for businesses to deliver this kind of personalized engagement at scale. That conclusion triggered our investment in Chatlayer, an advanced platform for Conversational AI that offered chat and voice bot functionality with support for more than 100 languages. We then integrated the Chatlayer product with our own messaging platform and have gradually built AI features into more of our products in our contact center product, in the Sinch Engage suite we launched earlier this year, and most recently, we developed AI Assist for SimpleTexting, which uses generative AI to make it easier to create SMS campaigns. Another product launch this quarter was Smart Conversations, a set of features for our Conversation API that lets businesses use AI to interpret what their customers are telling them. As you can see, we are embedding AI both in our UX-based products and in the APIs that underpin those products and offerings. We are using our own proprietary models as well as large language models from other providers. I should also mention that Gartner recognized our efforts by including Sinch in the Magic Quadrant for Conversational AI platforms. We were the only CPaaS company to make that cut, which is a clear point of differentiation. Beyond the customer-facing products, we also use AI within our company, and we'll be looking to leverage it further to create a more efficient and productive operation and to significantly improve our employees' experiences. Now, as you can understand from this overview, we have multiple active initiatives in the field of AI. To drive further alignment, increase the speed in which we deliver and to ensure we are leveraging AI responsibly, one of my first decisions after joining as CEO was to institute a center of excellence where we coordinate these initiatives. Taking a step back, the advancements we now see in AI can really transform how businesses across the world engage with their customers. While we are still in the early innings of this development, we already see how AI can remove bottlenecks and assist brands to deliver personalized experiences at scale. We can see in our discussions with customers that AI clearly triggers interest, and they are looking for support in how to leverage these new technologies to differentiate the experiences they deliver to their customers and to grow both their top- and bottom-lines. With those remarks, I'll hand over to Roshan as we transition back to the financials.
Roshan Saldanha: Thank you, Laurinda, and good afternoon to everyone on the call. Let's move to Page 7. Here you see a chart that shows our adjusted operating expenses, or OpEx, as developed. Adjusted OpEx is defined as the difference between gross profit and adjusted EBITDA. Looking at adjusted OpEx in the quarter, we can conclude that we continue to see positive effects from the cost reduction program that we launched in the second quarter last year, and we have reached our target of SEK300 million in annualized gross savings. This has been achieved through optimizing external spend, reducing use of contractors and workforce reductions. Some of these savings are also coming out of the ongoing migration of platforms that we're doing within the Messaging segment. These savings are offset by cost increases that we have from wage inflation, IT harmonization, and investments in growth areas and cybersecurity. Further, we see currency movements increase OpEx on a year-on-year basis, but these are also offset by currency effects on revenue. The net effect of the savings -- of the gross savings and the cost increases is that total adjusted OpEx in Swedish kroner is 4% lower in the second quarter '23 compared to the prior comparable period and in constant currencies. Let's move on to the next slide. Here, we see a bridge explaining our underlying gross profit development. In the second quarter '23, we had organic gross profit growth of plus 4%. The Swedish kroner weakening against major currencies helped gross profit growth by SEK128 million, or 7%, compared to the same quarter last year. Messaging volumes were up 3% year-on-year with India contributing positively. Volume growth is impacted negatively by macroeconomic headwind, lower volumes in Brazil, and reduced traffic from large global centers. Organic growth in the Messaging segment was at negative 3%, which is an improvement from the previous quarter. Turning to Voice. Organic gross profit growth in the Voice segment was at plus 3%. This includes a negative effect from the 8YY toll-free calling regulation change in the U.S., which has been with us now for a while. The demand for number verification products continues to be a strong positive contributor to Voice gross profit. Turning on to Email. We see a strong organic gross profit growth in the Email segment of 23%, which is driven by revenue growth of 14% from new customer acquisitions and volume growth as well as improved gross margin. And finally, in SMB, we see an organic gross profit growth of 10%, which is driven by growth in the U.S. market and in the SimpleTexting and ClickSend brands, which continues to be strong, but is offset by slower growth among our larger enterprise customers in Australia. Turning to Page 9, which shows the margin development for the business, including pro forma figures for Q3 and Q4 '21 to ensure comparability. We see a strong gross margin stability over a longer period of time, which shows the strength in our product proposition towards customers. We believe that we can improve this overtime as higher margin products are growing faster. Here, you can see a small improvement in gross margin in the quarter. As Laurinda commented earlier, the second quarter '22 was affected by a reassessment of reserve for accrued traffic costs, which affected both gross margin and adjusted EBITDA margin. Excluding this item, gross margin is up 1.3% on a year-on-year basis. For Messaging, we expect that current market conditions, combined with changes in our business mix, means that we may not see the same seasonal uplift in H2 that we have seen in previous years. In the third quarter '23, the Voice segment's gross margin will be affected by the last step down in toll-free rates related to the 8YY regulation. Adjusted EBITDA margin continues to perform strongly in the quarter and is supported by the cost efficiencies achieved despite inflationary headwinds, and we see a 21% growth in adjusted EBITDA on a year-on-year basis. Moving on to Slide 10, where you see our income statement. Again, it's worth calling out and when we are doing year-on-year comparisons, currency affects revenues, gross profit, EBITDA as well as it affects our balance sheet items. Total operating expenses grew to SEK1.6 billion from SEK1.4 billion in the prior comparable period. This increase includes a negative impact from operational currency gains and losses of a SEK160 million compared to the second quarter of 2022. On a constant currency basis, adjusted OpEx, as I commented earlier, reduced by 4%. The largest adjustment item that we have between EBITDA and adjusted EBITDA this quarter is integration spend, which remains stable at SEK47 million, in fact slightly declining year-on-year but stable compared to the previous quarter. And this relates mainly to the consolidation of messaging platforms and migration of SimpleTexting onto the media platform, which is our main platform for SMB customers. Moving on, in the income statement, depreciation and amortization of SEK624 million includes non-cash amortization related to acquired entities of SEK506 million. Net financial expenses were SEK117 million, with interest costs amounting to SEK156 million, with an effective interest rate at just over 5%. The group's effective tax rate on a year-to-date basis was 32%, excluding the effects of acquisition-related amortization and deferred tax for those amortizations. We expect that a normalized tax rate is around 27%. As I said earlier, adjusted EBITDA is up 21% compared to the second quarter last year on an underlying basis and in constant currencies. Adjusted EBIT also grew to SEK747 million when excluding the EBITDA adjustment and the amortization of acquisition-related assets, which is non-cash in nature. This represents an increase of 35% in adjusted EBIT. Please turn to the full cash flow statement on Page 11. Note that we have paid down debt by SEK300 million during the quarter. This is in addition to the SEK307 million reduction that we had done in the first quarter of 2023. Cash flow before changes in working capital was strong for the quarter at SEK382 million. Net working capital as a percentage of sales continues to be low at under 2%, which shows the asset-light nature of the business. However, working capital during the quarter was adversely affected, both by increased accounts receivable, which is not yet due, although overdue receivables declined compared to the previous quarter. Additionally, in the quarter, we had a one-time payment of a SEK161 million related to the previously communicated price regulation of toll-free calls in the U.S., and that was to a North American telecom operator. This amount was fully reserved and thus did not affect Sinch's income statement in the quarter. We expect both of these timing effects to rebound during the second half of 2023 and show a positive impact on working capital. Again, on a rolling 12-month basis, we have generated SEK1.9 billion in cash flow from operating activities and SEK1.25 billion after reducing CapEx. The group had closing balance of cash at SEK1.5 billion at the end of the quarter. And in addition, we had available credit facilities of SEK2.1 billion and bank overdraft facilities of SEK926 million. On Slide 11, you will find a bridge from adjusted EBITDA to cash flow from operating activities and after investments. We calculate cash conversion after CapEx, tax payments and interest payments. Normally, we should be between 40% to 50%. Last year, we had a release of working capital, which helped cash conversion. On a rolling 12-month basis, we had a cash conversion of 35%. As I stated previously, the change in working capital, negative timing effects during this quarter affect cash conversion. We expect working capital to be lumpy and expect it to rebound during the second half of '23. Turning to Page 12, you will see the DSO graph. Day sales outstanding is calculated using all of our receivables. One clear focus area for us has been on reducing our accounts receivables. DSO bounces slightly back to 62 days compared to the previous quarter as a result of increase in receivables not yet due. Compared to the prior comparable period last year, DSO has been reduced by six days from 68 to 62, which has been possible due to continued focus on recovering outstanding customer receivables and improving the underlying processes. Please turn to Page 14. Here we see the leverage ratio for Sinch, which is net debt over adjusted EBITDA, where both net debt and adjusted EBITDA are excluding the impact of IFRS 16 related lease debt. We are glad to report a continued deleveraging, as expected, with leverage now down at 2.4x. De-leveraging continues to remain a focus area for Sinch, and we expect this ratio to continue to decline through underlying cash flow generation from operations and increase in adjusted EBITDA during the rest of 2023. And finally, please turn to Page 15. We reiterate our financial targets to grow adjusted EBITDA per share with 20% per year and to keep net debt over adjusted EBITDA below 3.5x over time. Adjusted EBITDA per share grew 62% in the second quarter, measured on a rolling 12-month basis, while net debt to adjusted EBITDA is at 2.4 times, which is well within [indiscernible] goals and a reduction from 3.3 times as at the end of the second quarter 2022. With that, I would like to hand back over to Laurinda for any final comments.
Laurinda Pang: Thank you, Roshan. I think we'll take maybe some questions first, and then I'll wrap up.
Operator: [Operator Instructions] The next question comes from Andreas Joelsson from Danske Bank. Please go ahead.
Andreas Joelsson: Thank you, and good afternoon, everyone. I would like to start off with a growth question. Obviously, growth has stalled now for some quarters and you say levels are unsatisfactory in especially Messaging. Just curious of what you are doing yourself to drive usage of products and solutions that you provide? A bit after, how you can make customers see the advantage of what you can offer? And what's the main hurdle so far when it comes to cross-selling and seeing that pick up? And then, secondly, maybe for Roshan. It's Friday afternoon, so I'm a bit tired. But did you say something about what you expect when it comes to paid tax going forward this year? It would be great. Thanks.
Laurinda Pang: Thank you, Andreas. I'll take the first question, obviously. So, first of all, I think we're very pleased with the quarter as it is. And while there was certainly larger macro environments that we were working against, I think we delivered well. In fact, as you said, growth improved in the second quarter here. That being said, I've mentioned early in -- well, early in my tenure, I guess, that I saw a number of opportunities; one was around integration, and the second one is around go-to-market strategy very specifically. And we're working through the details of that plan currently, and we'll share that in due course. But there's much that we need to do with our own execution and to be disciplined around both our resource and our capital allocation to fuel growth. In the meantime, we are starting to see some early signs of cross-selling. And the leading indicators that I look at is certainly the pipeline itself. And so, we are starting to see Messaging customers start to purchase Email. We've closed a couple of customers this quarter very specifically, but the pipeline is building. And so, we're pleased with those early indicators. We will be providing you all with much more insights and metrics to measure success against when we're ready with our broader plan. Roshan, you want to take the tax question?
Roshan Saldanha: Yes, I can do that. Yes. So again, Andreas, paid tax can be a bit lumpy from quarter-to-quarter, of course. But what we have said is we expect our effective tax rate, seen over longer period, to be in the range of 27%.
Andreas Joelsson: Very good. Thank you. And have a great summer, everyone, also my dear competitors.
Laurinda Pang: Thank you. You as well.
Roshan Saldanha: Wish you the same.
Operator: The next question comes from Laura C. Metayer from Morgan Stanley. Please go ahead.
Laura C. Metayer: Thank you, and good afternoon, everyone. Two questions from me, please. The first one on the Messaging segment. So, in the intro of the report, Laurinda, you flagged that some customers are evaluating cheaper alternatives for some use cases. Could you please elaborate on this? What kind of alternatives are they looking at? How permanent is it? And how much is it impacting the business? And then, the second question is on the EBITDA margin. So, obviously, you've realized the cost savings program. Should we expect further margin expansion from here? Thank you.
Laurinda Pang: Thank you, Laura. Yes, so in the commentary itself, I think, first of all, I would state that it's a trend -- a technology trend that we are starting to see in Messaging. It should not be overblown, but it should not be ignored either. And so, I'd asked Thomas to actually share with us more detail around this, because it is a small piece of our business around one-time password. Thomas?
Thomas Heath: Sure. Thank you, Laurinda. So, this is an area where, of course, we've received some questions, and we just wanted to explain a few of the moving parts within Messaging. This is an area which we've done quite well within the past and where growth is lower this year. So, if we take a step back, our Messaging segment is around 40% of our business, right, of Sinch. Now out of this 40%, around 15% of that total Messaging traffic contains passwords. And there are a few different use cases for passwords, but 15% out of the Messaging volume. Now that -- if you combine those two, that means that 6% of our overall business relates to passwords. Now, as I mentioned, the passwords can be used for many things. They can be used to verify that you have a phone number, for example, when you sign-on to a new app, or they can be used for two-factor authentication to enhance security. There are domestic use cases. There are cross-border use cases. Now, out of this 6%, a subset of that is where we help large global companies with consumers across the world who use SMS primarily to verify numbers. And this is where we can see some sensitivity to price. In some specific countries, carrier prices are set too high for these international senders. It can sometimes be almost a way to tax foreign entities, and that just reduces the attractiveness to use SMS for that specific cross-border password use case. Now, on the flip side, as we've talked quite a lot about, we've invested in other technologies for number verification. And, indeed, we are doing quite well on the Voice side where we use things like Flash Call and Data verification to achieve the same end result for a business, which is to verify someone's phone number. And here, we believe we're taking share also from competitors as customers look to broaden their use of channels beyond SMS. So, this is an area where you see a little bit of an impact on Messaging, and we're picking it up elsewhere. Hopefully, that gave some color on a bit of the moving parts. Lastly, just to say, of course, this is an area where our diversified product offering is really helping us. We're compensating pressures on some use cases or customer segments with advancements in others.
Laurinda Pang: Roshan, can you take the EBITDA question?
Roshan Saldanha: Yes, thank you. So, yes, I mean, obviously, we've concluded the cost reduction program. Formerly, we might see some restructuring charges related to this cost reduction program come through in the second half of the year, but we don't expect material new savings. On the other hand, we definitely see a lot of opportunity for us to work with harmonization and increasing efficiency in the business. And when we look at EBITDA margins, there is possibility for us to further expand margins in the longer term, both through platform migrations process and system harmonization and removal of complexity. So that's something that we will continue to focus on as a part of our day-to-day business and not as a separate program, but we expect margin expansion as a result of this.
Laura C. Metayer: Thank you. This is very helpful.
Operator: The next question comes from Predrag Savinovic from Carnegie. Please go ahead.
Predrag Savinovic: Thank you, operator. Hello, Laurinda, Roshan and Thomas. First, a follow-up question on authentication. So, when I try to dissect the numbers based on what you said Thomas, looking at the Messaging side, the size of authentication within this, and the subset you said is at risk, correct me if I'm wrong, but you should be around 1%, maybe 2% on the gross profit then. And then, you said you had some features to counteract this. So, if we're trying to think of net effects on the group, what you're telling us is there could be a negative effect of 1% or so on gross profit. It could be flat or it could be even be up. So, it's not that alarming. Is that a correct assessment?
Thomas Heath: I think that is a correct assessment, and it depends on how well we execute, of course. But it's an area where our omnichannel capability is really a strength. It just shows up as a negative in Messaging and a positive in Voice.
Predrag Savinovic: Okay. Perfect. Could you discuss a little bit on pricing? You had some pricing in the first quarter. If you could say how much of that is driving gross profit in this quarter and if you have any strategy on that going forward as well to adjusting pricing on some accounts?
Laurinda Pang: Roshan, do you want to take that, please?
Roshan Saldanha: Sure. Hi, Predrag. Yes, so as you correctly identified, I mean, in the Messaging segment, we, for the first time, I believe, rolled out selective price increases to some of our customers, mainly small and medium -- of a small and medium nature within that segment. Now, we've always been passing on price increases from carriers, right, so that's not new, but we have less history of kind of doing price increases for our own benefit. That's, of course, part of the results in Q2, those price increases. But going forward, I think the learnings from running that program help us kind of build a new muscle on Messaging, which we intend to use not really as necessarily a large program, but kind of tactically to improve margins. We're glad to see gross margins in the current economic environment continue to remain stable. And one of the reasons for that is, of course, the price increases that we pushed through in Q1. And the same opportunity, we believe -- now we have slightly different kind of starting points, but the same opportunity we believe exists in the Email segment as well, where price increases have been done, but for a while ago, and that's something those -- we will look at those opportunities in other segments going forward.
Predrag Savinovic: Okay. Fantastic. And as a final one, I appreciate the overview on AI you've made in intro. It does sound like you could be a beneficiary here. But if you -- could you use this to leverage your growth you think Laurinda? And also, you're still deep into integration mode on all the acquisitions you've done. Can you leverage this somehow for your own internal efficiency, cost reductions, integrating these acquisitions faster, for example?
Laurinda Pang: It's absolutely a perfect question, Predrag. I absolutely see AI as an opportunity as opposed -- more so than a threat to our business. It's certainly an important aspect of how we will go to market in terms of our product development, both embedding it in the products themselves for the use of our customers and for the benefit of our customers, but then also how we develop as well, but you rightly call out the operational capabilities and the operational efficiencies that it will allow us as well. So, we are contemplating it in terms of how we drive more productivity and efficiency within Sinch, which will play exactly to the integration overview. Thank you for question.
Predrag Savinovic: Thank you. That's all from me. Thank you. Thank so much.
Operator: The next question comes from Daniel Thorsson from ABG Sundal Collier. Please go ahead.
Daniel Thorsson: Yes. Thank you very much. I have two questions. The first one is on the competitive landscape. Have you seen that changed for new deals in the last couple of months, given that we are seeing your international competitors reducing cost and growth efforts to reach profitability sooner than later quite a lot here? And then, secondly, I guess for Roshan more of a technical question. Non-recurring items have been around SEK150 million in the last three quarters, and you are in the middle of a few integrations, obviously. But when should we see that number start to fading to lower levels, please?
Laurinda Pang: Sure, Daniel. Thank you for the questions. Yes, the competitive environment, it's still very much a fragmented market out there. So, we certainly see a lot of competitors, but we are -- and I think I mentioned this last quarter as well, we are certainly having conversations with customers who are not pleased with the service levels that they're receiving from some of our competitors, so it does create opportunities for Sinch. Roshan?
Roshan Saldanha: Should I take the second question? Yes. So, yes. So, I mean, there's a few different parts in there, Daniel. I mean, I think if you look at the acquisition costs, of course, that depends on when we are active with acquisitions. Restructuring costs, we don't expect a lot going out of 2023. Obviously, that would be concluded in 2023. The same with costs for share-based incentive programs. I mean, that varies with the share price development. So, I think the real item to talk about is integration costs, and I think as you come down to that, we have seen a slight decline going from levels of around SEK60 million, SEK65 million last year to around SEK45 million to SEK50 million during '23. I expect that this will continue at least for all of '23, and then we have to come back to kind of what does that mean going forward into '24 and onwards.
Daniel Thorsson: Okay. That's helpful. Thank you.
Operator: The next question comes from Stefan Gauffin from DNB. Please go ahead.
Stefan Gauffin: Yes. Thank you for taking my question. I actually have two questions. First, you talk about potential for price increases in Email. But if I look at your numbers, you're seeing volume growth of 23% versus organic sales growth of 14%. So, it seems to be some increasing price pressure. So, yes, can you explain what we should expect for this business going forward?
Laurinda Pang: And I'm sorry, Stefan, did you have a second question as well?
Stefan Gauffin: Yes, I can take that one. So, you're still seeing slightly muted growth in Messaging. And you also said that we should not expect the normal seasonality in the second half. But can you tell us what you're seeing in terms of signs of improvement in terms of volumes for this business?
Laurinda Pang: Sure. I'll take the second one and then I'll ask Roshan to share his further thoughts on the price increases in Email. But as it relates to the seasonality comment, as you know, the comparables in Q3 of last year were tough. And we are currently facing a weaker economic climate this year. Having said that, as we move into Q4, the comps ease again. So, what we're seeing, interestingly, is while our larger customers are being cost conscious and more efficient in terms of how they are leveraging Messaging as a communication vehicle, we are still seeing new customers come into this space. Our new sales teams are having good success and consistent success with regards to selling large customers. And we are also starting to see cross-selling. I've mentioned specifically Messaging customers purchasing Email, but the reverse is happening as well. So, we -- the commentary around seasonality is around the fact that we don't see the macro getting worse, but we also don't necessarily have a reason at this point in time to say it will definitively be better this quarter. So it's just a cautionary comment. Roshan, do you want to take the Email pricing?
Roshan Saldanha: Sure. So you're right, I mean, Stefan, in the Email segment, we have reported a volume growth of 23% and we reported the sales growth of 14%. Now there's a difference between the Email segment and, for example, the Messaging or the Voice segments. In the Messaging and Voice segment, revenue and, indeed, gross profit is very closely tied to transactions, because the pricing to customers is purely transaction based. In the Email segment, we have a different pricing model, where we're pricing more based on buckets, and therefore, we sell kind of committed packages both to small users but very often too also to larger enterprise customers. This means that there is less of a direct correlation between volume growth and revenue growth. We think it's positive that there is a strong usage of the Email channel and that shows kind of the value in the channel. And coming back to my previous comments, we think actively about how do we price our packages -- our Email packages to be able to give best value to the customer and generate a good for Sinch.
Stefan Gauffin: Okay, thanks.
Operator: [Operator Instructions] The next question comes from Fredrik Lithell from Handelsbanken. Please go ahead.
Fredrik Lithell: Thank you, Laurinda and Roshan and Thomas, for taking my questions as well. I just had little bit of a follow-up maybe on -- if you, Laurinda, could talk a little bit more about the seasonality? Is this something you sort of [gauge] (ph) internally sort of with forecast? Or is it your feeling from what customers actually do plan for and thereby you can sort of assess how volumes will move for you in that sense? Or maybe if you could elaborate a little bit more? Second question is, do you see -- I mean, when we cover operators as well, we see a lot of price increases on the operator side. Is that something that you see more activity around, so that your sort of cost base on COGS is coming up? I know you transfer it to your customers, but just in general would be interesting to hear. Thank you.
Laurinda Pang: Sure. Thanks for the question, Fredrik. So, first of all, on the seasonality piece, again, last year if you remember, in Q4 is when we started to see some volumes drop off. And, again, that has remained fairly consistent. So this is, from my perspective, how we are forecasting the business based off of trends themselves. And I'll ask Roshan in a minute to see if he wants to add anything further there. As far as the operator pricing increases, you're right, we do pass the vast majority of those onto our customers. But as Thomas indicated earlier, we are seeing some larger increases for international termination. And I'll ask Thomas if he wants to add anything further there. But, Roshan, anything on seasonality first?
Roshan Saldanha: Yeah, I think, Fredrik, just to add a little bit to what Laurinda said, I think what's important to remember is that when we reported Q4, we said that we kind of saw a trend in the end of Q4 for reduced volumes within messaging as customers were kind of trying to optimize cost. We are continuing to have good traction in our sales momentum, and we have not seen churn numbers increase. So it's more as to net expansion, and net expansion has reduced on our existing customer base starting in late Q4. That trend has not worsened, but that decline has kind of stabilized during Q1 and Q2. So, when we talk about seasonality, we just mean that we are now at a lower level, and therefore, we will have slight difficulty in Q3, of course, from a comparable perspective and for a part of Q4 as well, right? So, I think that's kind of what that's primarily based on. Thomas?
Fredrik Lithell: Thank you.
Thomas Heath: Well, again, on carrier prices, as you conclude as well, and as you can see from our gross margin, we successfully pass on carrier price increases when we face them, and we have done so over many, many years. Now, as we noted earlier, where we are seeing or where we have seen some movement is on international termination. So, some countries, remote countries, I should say, where carriers are taking the opportunity to increase prices towards international centers, right, and that's, of course, what triggers these customers to look at alternative technologies and many of which we offer, right? So this is sort of related to the same theme. So, this is -- it's correctly observed and relates to a small and quite specific part of the business and we mitigate it with other products.
Fredrik Lithell: Okay. Thank you.
Operator: The next question comes from Laura C. Metayer from Morgan Stanley. Please go ahead.
Laura C. Metayer: Hi. Just a quick follow-up from my side. So, you mentioned the free cash flow can be lumpy and your working capital outflow that you saw this quarter was due to timing effects. Just to clarify, do you expect a recovery of free cash flow in H2 this year? Thank you.
Laurinda Pang: Roshan?
Roshan Saldanha: I could take -- yes, Laura, that is correct, the short answer. We're expecting this timing effect to reverse in H2 '23.
Laura C. Metayer: Thank you.
Operator: There are no more questions at this time. So, I hand the conference back to the speakers for any closing comments.
Laurinda Pang: Terrific. Thank you. Thanks very much for everyone that's joined us today to hear this update on our performance. And as I summarize the quarter, I'm very pleased that we can again report positive organic growth in gross profit. There are improvements across all segments and adjusted EBITDA is 21% higher than a year ago. Our financial leverage has decreased to 2.4 times. And we delivered a number of product enhancements, several of which are based on AI, and our new sales teams are doing well. So, while we're intent to improve further, we, nonetheless, are very pleased with our performance this quarter. And as I look out in the future, I continue to believe that customer experience is the name of the game for any enterprise to beat their competition. Sinch is very well positioned to enable brands to differentiate through personalized engagement with their customers. Our technology, our products and our people are all keenly focused on helping our customers win in their respective games. So, thank you again for your interest and for joining us today. I think we're now ready to end the call.